Operator: Good day and welcome to the Ferrari N.V. Full Year 2017 Results Conference Call. Today's conference is being recorded. At this time, I'd like to turn the call over to host Ms. Nicoletta Russo. Please go ahead Madam.
Nicoletta Russo: Thank you, Sarah, and welcome to everyone who is joining us. Today's call will be hosted by the group's Chairman and CEO, Sergio Marchionne and Alessandro Gili, group's Chief Financial Officer. All relevant materials are available in the Investors section of the Ferrari corporate website. And at the end of the presentation, we will be available to answer your questions. Before we begin, let me remind you that any forward-looking statements we might make during today's call are subject to the risks and uncertainties mentioned in the Safe Harbor statement included on Page 2 of today's presentation and the call will be governed by this language. With that, I'd like to turn the call over to Mr. Marchionne.
Sergio Marchionne: Thanks very much. Just couple of remarks to start-off the presentation today and the then I will pass it on to Alessandro. He will take you through the details of 2017. Broadly speaking it has been a good year. I think we made all the numbers we had targeted, I think, you saw from the headline that we actually overachieved our own ambitions. If go back to the time of the IPO, we were targeting about EUR1 billion in EBITDA. A couple of years from now, we got there much earlier. We like the shape of the EBIT and EBITDA margins that we've been able to get for 2017. It's an indication of the fact that we keep on improving the quality of the offerings. I think it's reflected in the margin generation of the house. Cash is decent. But I think more importantly from my standpoint, which is what connects us to the second part of what we've announced today, is the execution of the plan that we've outlined, at least numerically in terms of objectives for 2022 continues to progress well. I think we have entered a very interesting period in the development of Ferrari. I think the fact that we have now embraced pretty, openly the relevance of hybrid structures and the way in which we provide motion to our vehicles is something, which is going to really distinguish the Ferrari of today from the Ferrari of tomorrow. And I think that we've got a phenomenal execution going on in the field. I feel comfortable that we're going to make – and some of the stuff will be visible in 2019. So it's not as if we're talking about projects that will – are so long dated that they're associated with a long level of uncertainty. So I'm overall satisfied. I think that the house is firing on all cylinders, and so I'm happy. I think that we are in a good place. A couple of comments about the euro dollar stuff that we've been watching. I made it clear before that I didn't think and I still don't think that euro or any vagaries of the foreign exchange market is going to impact the financial performance of Ferrari. So I think the house is unique enough and strong enough to be able to set its own pricing in euros. I think we will be respectful of commitments that we have made to our customers up to now, but I think we need to condition our dealers and our customers to accept the fact that the vagaries of ForEx can't be on account of Ferrari – like charts that show, these charts at the end that explain variance in the base of ForEx. It makes a lot more sense when you’re making five million cars and it doesn’t make a lot of sense when you are making 9.000. We are a luxury good maker. I think that we have, we’re fortunate enough to sit on our waiting list for our products. I think we need to be able to have certainty of guaranteeing, economic performance regardless of where our functional currency sits. We made reference in our opening headlines and, I guess, somewhere in the body about the plan for 2022. It's pretty clear that we intend to double EBITDA on or before 2022 I think the important thing is to produce cash. I think we've made a commitment to bringing down our debt levels to zero on or before 2021, obviously subject to any repurchase activities that we may carry on that may change that objective. But as of today, I think that we are targeting 2021 or earlier to go zero. It doesn’t address the question as to whether it makes sense or not to repurchase shares. I think that issue we discussed certainly on other calls, and I've discussed it with some investors from time to time if we are, and we are absolutely convinced that these numbers are doable. We certainly have the full backing of the board in going out there and making sure that we carry out an active buyback program that ensures that we preserve the highest value for the shareholders who intend to stay. What is embedded in the EUR2 billion number, and you know that we had stayed away from making any reference to the number of cars that we intend to sell because really irrelevant. But what is important to us is that EUR2 billion reflects the highest EBITDA margins that are available in the sector. So it's not spelled out in the press release, but the objective is to set standard for the sector with that number, and I think that's what we're striving to get done by 2022. I owe you one more piece of information here, and this is coming as news to Nicoletta and Alessandro, so I apologize for doing it. We decided that we're going to move the Capital Markets Day to the third quarter of this year. I've been agonizing over this thing because bringing investors and to try and discuss models that I cannot show you and margins that I can't talk about is a pretty useless activity. So what we've decided to do is that we're going to bring you in the third quarter this year, preferably and hopefully in September. And there's a number of things that we're planning to do then, but I think the whole objective is for you to experience what it's like to be a Ferrari customer and to really being able to see the experience that our customers go through in coming into this house and becoming one of our customers. We will have a new style center that's open by then the Italia will be fully functional. We'll probably be launching a car when you come. And so we'll do that at the same time. And I think that you'll be able to experience the full flavor of Ferrari in terms of what we do on a daily basis. And then I think you need to draw your own conclusion about what the financial horsepower of this house is. I think 2017 is a good indication on how well it fires. I think we're going to see over the next three or four years what the true potential of this house as we get to the EUR2 billion mark. So on that happy note I’ll pass it on to Alessandro to take you through the 2017.
Alessandro Gili: Thank you Mr. Marchionne. So, good morning and good afternoon to everyone. Just a few comments on Slide 3 to cover a few items. We highlighted our engineering and design efforts where we were globally awarded with International Engine of the year and Red Dot: Best of the Best for the second and third year, respectively. As you know, we've been celebrating our seventh year anniversary. We took time to share these relevant milestones with the all of our customers for various events all over the world. And the group is proposing a dividend distribution for the holders of common shares of EUR0.71 per common share corresponding to a total dividend distribution to shareholders of approximately EUR134 million. And as a reminder, this is subject to the approval at the 2018, shareholders annual general meeting. On Page 4, we have highlighted some of the key elements of what will contribute to our performance for 2018. We've launched 812 Superfast, our latest V12 sports car and the Ferrari Portofino, our latest V8 GT. And in addition, during the Finali Mondiali last year the Mugello race track we unveiled the non-registered racing cars FXX K Evo, which is a strictly limited edition. From Page 5, we are going through the details of our 2017 financials. Our shipments reached 8,398 units, up 384 units, or 4.8% versus prior year. Results were driven by a 25.1% increase in V12 models, thanks to the GTC4Lusso, LaFerrari Aperta yet to finish its limited series run as well as the A12 Superfast that is approaching a global reach. V8 models were in line with prior year due to the California T phaseouts, offset by the 488 family and the GTC4Lusso Turbo that posted a solid performance. In terms of portfolio turnover, the California T and F12berlinetta are phased out as well as the F12tdf that finished its limited series run in 2017. The newly launched Ferrari Portofino will commence deliveries in Q2 2018. Group net revenues for 2017 were EUR3,417 million, up 10% or 11.2% at constant currencies. Our adjusted EBITDA improved by 17.8% reaching EUR1,036 million and 30.3% margin hitting the IPO target of EUR1 billion adjusted EBITDA two years ahead. Adjusted EBIT for the group showed a 22.7% increase reaching EUR775 million, with a margin expansion of 230 basis points of 22.7%. Industrial free cash flow for 2017 was EUR328 million driven by strong adjusted EBITDA, partially offset by CapEx, tax payments and lack of contribution from advances of LaFerrari Aperta. Net industrial debt as of December 31 was reduced to EUR473 million from EUR 653 million in December 31, 2016, thanks to positive industrial free cash flow generation partially offset by cash distribution of EUR120 million. Moving to shipments on Page 6. We had a solid performance of the 488 and the GTC4Lusso families as well as Laferrari Aperta. The 812 Superfast is approaching its global reach. Shipments for the group were up, 4.8% where EMEA grew almost 4% with Italy, France and U.K growing at double digit pace, while Germany recorded mid-single-digit growth, thanks to the 488 and the GTC4Lusso families as well as the A12 Superfast. Other European countries were up single digit, while Middle East was down due to reallocation triggered by tough market conditions. America showed a 4.6% increase and rest of Asia Pacific grew 12.3%. Combined deliveries in China, Hong Kong and Taiwan were flat due to the slowdown in Hong Kong as per Ferrari’s decisions to terminate the distributor in 2016 and the new dealership becoming fully operational in Q3 2017. Moving on to Page 7. 2017 net revenues reached EUR3.4 billion, up 10% versus prior year, or 11.2% at constant currencies. Cars and spare parts revenues were up 12.7% or EUR276 million, thanks to higher volumes and positive mix led by V12 range models as well as LaFerrari Aperta along with greater contribution from our personalization programs and pricing increase. This was partially offset by the end of LaFerrari life cycle in 2016 as well as the non-registered racing car FXX K and the strictly limited edition F60 America completed their limited series run in 2016. Engines revenues grew to EUR373 million, thanks to strong sales to Maserati, more than offsetting the termination of the rental agreement with a Formula 1 racing team. Sponsorship, commercial and brand revenues were up EUR6 million to EUR494 million, thanks to higher sponsorship and brand-related revenues, partially offset by lower 2016 commercial revenues for championship ranking compared to 2015. Other revenues were down by EUR5 million to EUR94 million, mostly due to the deconsolidation of the European financial services business since November 2016. Moving to Page 8, you can see the year-over-year changes in the main items of our adjusted EBIT. Volume was up EUR67 million due to an increase of approximately 360 units, excluding LaFerrari and LaFerrari Aperta, thanks to the GTC4Lusso and the 488 families, as well as the 812 Superfast together with positive contribution from a personalization programs. This was partially offset by the California T and the F12berlinetta phase out. Mix was positively impacted by LaFerrari Aperta, strong performance from product range models and pricing increases. This was partially offset by LaFerrari that completed its lifecycle in 2016, as well as the non-registered racing car FXX K and the strictly limited edition F60, completing their limited series run in 2016. Industrial costs and R&D grew EUR23 million, mainly due to higher R&D expenses to support product range and components innovation for hybrid technology. This was partially offset by lower spending in F1 activities and efficiencies on direct materials. SG&A costs were higher than prior year, as they were impacted by charges in connection with the equity incentive plan, expenses related to our 70th anniversary celebrations and higher costs related to new directly operated stores. This was partially offset by the deconsolidation of the European Financial Services business since November 2016. Foreign exchange, excluding hedges, had a negative impact mainly due to U.S. dollar, Great Britain pound, yen and Chinese renminbi depreciation versus the Euro. Other decreased mainly due to lower 2016 championship ranking compared to 2015, the termination of the rental agreement with a Formula 1 racing team and the deconsolidation of the European Financial Services business. This was partially offset by positive contribution from Engines to Maserati. And as a result of all of the above, full year 2017 adjusted EBIT was up 22.7% to EUR775 million, adjusted EBIT margin expanded by 230 basis points, reaching 22.7% or 22.1% without FX hedges and adjusted EBITDA reached 30.3% margin or 29.8% without FX hedges. On Page 9, you can see the industrial free cash flow for the year that was EUR328 million driven by strong adjusted EBITDA of EUR1 billion. This was partially offset by net change in working capital of EUR61 million as a result of inventory and trade payables increased driven by the projected volume growth in line with our 2018 production outlook. Tax payments include the 2016 tax balance as well as the 2017 tax advance payments and CapEx of EUR387 million. Other was impacted by lack of contribution from advances of LaFerrari Aperta, partially offset by advances from the Ferrari J50. Net industrial debt at December 31 reached EUR473 million, thanks to the strong industrial free cash flow generation partially offset by cash distributions and dividend to our NCI for a total of EUR121 million. On Page 10, just a quick glance at our client relationship activities to provide you how we organize various events all over the world to celebrate our 70th anniversary with our customers. And on Page 11 and 12, we have provided an update for our other activities. Moving to Page 13, we show our 2018 outlook as follows: shipments at over 9,000 units with a strong contribution from range models and new model launches; net revenues at over EUR3.4 billion driven by strong volume, higher sponsorship and better F1 ranking revenues, partially offset by lower LaFerrari Aperta, finishing its limited series run and negative FX. Adjusted EBITDA rates are equal to EUR1.1 billion, thanks to positive contribution from range models, volume sponsorship, better F1 ranking, lower industrial costs and R&D, partially offset by lower LaFerrari Aperta and negative FX. Net industrial debt lower than EUR400 million supported by positive industrial free cash flow generation, thanks to strong adjusted EBITDA, partially offset by CapEx, taxes and dividend distributions to holders of common shares. Please note that we haven't included any patent box as fact an opportunity for 2018. And capital expenditures at roughly EUR550 million increased, due to support the broadening and hybridization of our product range in line with the expected volume growth over the 2019-2022 period. And lastly, on the following page after thoroughly reviewing its current portfolio and all of its product development initiatives, the group is targeting an adjusted EBITDA performance of EUR2 billion and EUR1.2 billion in industrial free cash flow no later than 2022 and to be net industrial debt free after dividend and capital distribution and excluding share repurchases no later than 2021. With that, I'd like to turn over the call to Mr. Marchionne for any final remarks.
Nicoletta Russo: No, we can go ahead to the Q&A session. Please go ahead. Thank you.
Operator: Thank you. [Operator Instructions] We'll now move to our first question today from Monica Bosio of Banca IMI. Please go ahead.
Monica Bosio: Good afternoon and thanks for taking my questions. I was wondering if you can give us some indications about the pricing effect that we can assume for 2018. And if you can also update us on the personalization rate in 2017 and what we can expect going forward? Also on the back of the midterm guidance, should we expect an increase in personalization or a flat trend in comparison with the current state-of-the-art of the company? Thank you very much.
Sergio Marchionne: I'm going to try and help Alessandro with this. I can’t answer your question in detail. I'm going to give you some broad line suggestions as to how we got to the EUR2 billion. We're not doubling volumes, so we must be improving other mix of the industry utilization of the plant, it is established policy of disaster, we're trying to enrich the offering to the marketplace. And therefore, we're trying to improve our ability to extract margin from the businesses that we're currently carrying out, that something that continues into the plan. And therefore, I would have expect that – I would have expect the rational logically as a consequence of what I said personalization and pricing are both expected to improve over the midterm period. But that's just the way I look at it. You can draw your conclusion. The EUR2 billion is unmovable.
Monica Bosio: Okay, thank you.
Operator: Thank you. We'll now move to our next question from John Murphy of Bank of America. Please go ahead.
John Murphy: Good morning and good afternoon, guys. Just a first question and I apologize to follow-up on this midterm outlook. But I mean, as we think about this, I mean, doubling the volume between now and 2022 seems somewhat unrealistic just given the way that you run the business. So I would imagine there'd be some acceleration of growth but not an extreme acceleration. I just want to make sure that's true. And then second also, are all these vehicles going to be…
Sergio Marchionne: I agree, John. And then?
John Murphy: Okay. And then also I mean are all these vehicles going to be produced within the footprint of the Maranello because – advantage of the capacity utilization at that plant?
Sergio Marchionne: Absolutely, it's staying right here. By the way, just to be clear, we have a body shop, which has historically been outside, but it belongs to us. It’s about 15 kilometers away from here, but it belongs to us. So there's no adjustment to the manufacturing footprint as such. There's improvements that we're making on the production lines, to debottleneck some parts of the operations. But fundamentally, we're adding shifts and just running the machine that we have today.
John Murphy: Okay. And if I look at the EBITDA and free cash flow, I assume some level of taxes in the 25% range plus or minus so you have a patent box ends up, that kind of would indicate a CapEx number, which roundabout is EUR500 million to EUR600 million that you're talking about for 2018. So would it be a fair assessment to think that we are at this point reaching sort of a peaky level in CapEx and R&D investment for the development of the product range as we go forward?
Sergio Marchionne: Yes, I think you're looking at a couple of years of this kind of CapEx. I think we need to get over the hump until 2020. I think that's the number that we're fighting with. And I think as I said, we've had these discussions all the time about whether it's physically possible for us to spend that kind of money given the fact that we never had. But I think some of the things that we've taken on as part of the product portfolio, some of which, hopefully, will be visible, when you come and visit in September and when you see the products being launched in 2019. When you realize that we are really extending the technology bench and the reach of this house beyond anything, which is traditionally done. And so I think it's feasible that we can end up spending a number of that caliber over the next couple of years, right. And I think it's required for us to meet the EUR2 billion. I mean, there's not a single doubt in my mind that in the absence of the capital commitment, we will never ever be able to extract that kind of margin both in terms of percentage and absolute quantum that we have targeted for 2022.
John Murphy: Okay. And then also on the back of that, I mean, the supercars that you guys have kind of alluded to or talked about, I mean, what is the time frame for a potential launch on that and is that sort of coincide with this EUR2 billion target on EBITDA around 2021-2022?
Sergio Marchionne: By the way, it's in the number. The target is, I think, we're expecting vehicle some time in – the end of 2020, beginning of 2021. And it is material to the EUR2 billion, but it's not – if it isn't that, it will be another. I'm not sure. I don't think there's a single product which is solely responsible for the EUR2 billion shifts, well, I mean, it's a collection. And I think we'll talk about this when you come in September because that's really – I think you need to look at the Ferrari experience. I mean, I’m describing this to you over the phone or telling you on a piece of paper is not going to do it. You need to see it. I think you need to see in the context of a product launch. I think you need to see the impact that it has on our customers. The pricing power is exhibited by these launches. You need to see it. It is a unique environment. And I think our objective in this plan going forward for 2022 is to protect that base and enhance it. I think the marketplace will allow us to do it because I think the customer base, at least our relevant customer base is actually much wider than we have historically thought, and it certainly is growing at a pretty rapid clip size. It's not a volume issue for us. I think we need to execute well on – I think we have done well up to now, but I think we need to move it up a couple of notches in terms of intensity and reach.
John Murphy: Yes. I hardly agree the experience of doing a Maranello is definitely a sort of a homage or – the past and present is actually did a great experience. Maybe just one last quick [indiscernible] mundane question. How many purchases are left in 2018? And then I think there's a lot of concern out there in the market that mix is going to go incredibly negative in 2018, but there's a few more purchases and some of the specials that you guys are – limited editions you guys are doing, it might not be as big a headwind as I think some of you are offering. So how many purchases are there and what about mix in the 2018 guidance?
Sergio Marchionne: John, why are you worried about mix? I mean, I understand the question.
John Murphy: I’m not worried about mix. I mean, I think there's opportunity, but I think there's a little bit of concern in the market that with your Aperta’s being largely delivered, but that doesn't sound like not the case. So how many purchases are left to go?
Sergio Marchionne: Okay. By the way, there's a limited number of Aperta less than, which in and by themselves will not significantly change the physiognomy of the P&L and the margin. But it's interesting question that you're raising about the fact that when you've got supercars with a caliber of LaFerrari or the Aperta, you will end up getting twisted numbers in a period of time. And what happens is that you end up getting what I call an abnormal or anomalous margin generation coming out from that series. The strength of this house is that it can actually modulate the introduction of those vehicles and it can balance it against the reduction on baseload, so it doesn't really affect if you go through these spikes. It performs sort of strangely because of these supercars. The plan that we're going to – that we put in place now, it will be in actionable in the next three or four years, is redesign to try and smooth out that – those anomalies by making sure that we've got a steady flow of things that has a similar pricing power. We'll never be able to emulate the Aperta LaFerrari as a steady-state condition because of the fact; otherwise we're going to end up losing the uniqueness of the product on a cycle basis. But there's got to be enough, and we experienced this with the TDF or the Tour de France when they came out, we experienced this every time we've done a Speciale version of the 458 and 488. And the fact if we can modulate and arrange the deck in such a way as to have a steady flow of these, we will not end up having this worrisome mixed deterioration that you made reference. I think it'll be all right. It's going to be different because the underlying mix of products will be different, and it has to be, right? But not enough to – but not enough for us to change – enough to change directionally our progress on EBIT and EBITDA generation, it's just a different way of getting it…
John Murphy: Okay. Great, it’s helpful. I have a follow-up.
Sergio Marchionne: Yes, go ahead.
John Murphy: I was mentioned – on Slide 17, I know the Enzo wasn't launched in this timeframe, but it might be just helpful to show people that there was another supercar – I think 2002 to 2004 the Enzo. Just one product that's kind of missing from that chart that I think would be helpful if you can understand this [indiscernible].
Sergio Marchionne: Yes. The Enzo was a 2003 vehicle and we launched the LaFerrari in 2013, so it is sitting on a decade cycle. But that's the past. I think we need to adapt to a new world. I don't know – this is almost blasphemous, but I think that the technology shifts between the Enzo and LaFerrari and the next car that's coming, they're so wide and there's whole notion I'm referring to as the supercars, and they really have to be time consistent. They have to be put in a time context because they do is – this stuff is moving too quickly. I mean, the performance – and I think we should already have this conversation in Geneva after we launch the next car. I think we're just start seeing the statistics, what's get revealed and when it gets revealed in Geneva, you'll realize that we're closing the gap between the supercars and the street cars pretty quickly. So I – it's a complicated issue. I think the important thing for us is to keep while making mix of cars that keeps on improving on EBIT and EBITDA generation – generates cash and keeps the trend of growth towards the EUR2 billion unabated. That, to me – and it's not maneuvering stuff. It's just making sure that the portfolio retains that quality and never wavers on the objective. I mean, that's a – I can't have a bad year. I'm not like a bank, right? I always blame it on the central banks. I cannot – I can't have a bad year.
John Murphy: Very much appreciate the color. Thank you very much.
Operator: Thank you. We will now move to our next question from Martino de Ambroggi from Equita. Please go ahead.
Martino de Ambroggi: Yes, thank you. Good morning, good afternoon, everybody. I know you stated you are not doubling volumes. Anyway, focusing on volumes; this year you are increasing volumes by 8%, which is an acceleration compared with the usual 4%, 5%. Am I right in thinking it is just a matter to offset the mix in ForEx, which would be negative this year, and the normal trend is the mid-single digit, or this could be taken as a reference point going forward?
Sergio Marchionne: Mr. Ambroggi, let me just repeat what I just – I think I was maybe too articulate in what I said earlier. And I'm going to try and give you a straight version of what I said. We're never going to produce a car and sell a car for which we don't have demand. The objective is to keep the growth in EBIT and EBITDA margins untouched and unwavering. And we will continue to mix the portfolio in such a way as to achieve the EUR2 billion target on or before 2022. It's that simple.
Martino de Ambroggi: Yes, the message is very clear, but…
Sergio Marchionne: The only – Mr. Ambroggi, the only question you got to ask yourself is with all the standard I’m going to get confused with the order of priorities. I guarantee you that we've handled more complex issues than this one.
Martino de Ambroggi: Okay. So looking at this picture in another way, you discussed in previous calls the target is 35%, 36% EBITDA margin. But if you are not doubling volumes and you signed EUR2 billion EBITDA, it seems to me you will exceed this level.
Sergio Marchionne: Okay. I agree.
Martino de Ambroggi: Okay.
Sergio Marchionne: Mr. Ambroggi, what I try to say – and by the way, I mean, I will take all the responsibility for this if we fail. But what I did say initially is that the objective of Ferrari was to become standard setter in EBIT and EBITDA margin generation. We're not today. We know this.
Martino de Ambroggi: Okay. And just two…
Sergio Marchionne: We need to get it done.
Martino de Ambroggi: Okay. And just two more follow-ups. One on Formula 1, I suppose that your assumption is a steady-state as the rules are today.
Sergio Marchionne: I’m sorry I missed the question, Mr. Ambroggi.
Martino de Ambroggi: Yes. The Formula 1, the revenue sharing agreement, I suppose in your 2022 target are assumed as a steady-state as they are today.
Sergio Marchionne: I'm assuming that our position will not worsen.
Martino de Ambroggi: Okay. And for ForEx, when do you believe clients and dealers will get your point on the sharing of the ForEx rates?
Sergio Marchionne: I’m willing to suffer a slight cold in 2018. I think in 2019, it becomes everybody else's pneumonia.
Martino de Ambroggi: Okay. Thank you.
Operator: Thank you. We will now move to our next question which comes from Ryan Brinkman of JPMorgan. Please go ahead.
Ryan Brinkman: Great, thanks for taking my question. Just relative to that 2022 type outlook, can you provide maybe a bit of a framework in terms of what would need to occur to generate that type of strong results? So for example, even a big picture subdivision between EBITDA, the volume contribution, the margin contribution would be helpful. And then in the past, I think you've alluded to an aspirational margin target of perhaps as much as 36%. Would it be correct to presume that generating EUR2 billion of EBITDA would require hitting that type of a margin? And what are the biggest areas of opportunity to get to that kind of margin?
Sergio Marchionne: Yes. There's no doubt in order for us to get to EUR2 billion, we have to get to EBITDA margins and to an excess of 36%. The real issue – and we've been sort of vocal on this even on previous calls, we've tried – I think one of the things that we realized in running this business is there's a section of the luxury sports market that we have not addressed, and we haven't addressed that because our emphasis has been very, very much on pushing the limits of the performance curve. And so we have played very hard in both V8 and V12 space by chasing performance. There's a big portion of the market, which has been unaccessible or where people have been unwilling to enter because of the demand associating with the performance vehicles. Some people feel uncomfortable in driving 800-horsepower machines, but it's something that is part of our DNA, which I think need to be reopen, rekindle, which has to do with the combination of Italian style, not just in terms of design, but in terms of interior finish and presentation and detail, which can live quite easily with our high performance engines, which are not living an extreme life. There's nothing wrong with a 600-horsepower engine because it certainly gives you enough performance, so try and enjoy the driving experience. That part of that equation of the customer base has been neglected. It's been neglected because we had a whole part of growth to go chase on the performance side. We need to rekindle this, and I think the – and hopefully, you'll see when you come to see us in September is that we've been active not only in maintaining the leading edge on performance but also developing this other part of the portfolio, which although it uses the existing physical and architectural infrastructure of Ferrari, it's capable of declining itself in a way which doesn't scare people. And so the new Portofino that you see is a first indication, first incarnation of that product portfolio and first indication, good, the car is sold out for 2018. In broad terms, the GTC4Lusso was the first – was another attempt at curing what was perhaps not so successful of a presentation as the FF was, but we're making progress. The next phase needs to be a lot more intense and I think it needs to be a lot more targeted at bringing in customers that have historically not been ours and certainly not in the last ten, fifteen years. And the ability to present ourselves in that market, which is a lot – a larger where buyers are more numerous where I think the ability to distinguish itself on style, pricing, component and so on is much greater and decent performance. It is at the heart of the EUR2 billion target. And I think you will see this piecemeal – you will see that 2018 is – as we rollout, but certainly not a full year of the Portofino, but certainly three quarters of the year, but the Portofino will be active. I think you will see it with the GTC4, which has now got both the Lusso and the versions available for distribution. You will see with the new car hopefully that we will launch in September when you come and see us. And you will see this implementation of the strategy a piece of the time, because we will be launching products to match the ambition. It will be visible in 2019. It will be becoming more visible in 2021 as we approach the final phase of the plan. It’s been incredible while articulating on the inside because I think the marriage of technology and market presence needs to be understood and then it needs to be action. So we have been started to work with our deals. We have to learn how to deal with higher volumes that they have had, not excessively high volumes, but excessive volumes. And with a customer base, which has historically n not been in – merely in the last ten years. So I think we need – we have done all the sort of proprietary work to get us there. We’re now in execution phase. And you’re start seeing these products being peeled off and coming off of the factor floor, you will see these turns hopefully themselves into EBIT and EBITDA. The progress from where we are today to where we hope to be in 2022 is the combination of improved pricing and improved utilization of the asset base. And it’s the combination of all the efforts that we’re carrying out both on the sports car side and on this new and expanding area that we need to build on. I can’t – I now don’t want to give you anymore details because I am actually it’s like decomposing the P&L for you, which I think we need to see – we need to see actualized as we go through 2018 to 2022 year by year.
Ryan Brinkman: That’s fair. Thank you. And my last question is just on your recent comment that Ferrari could offer its customers a battery electric vehicle just like I think you have cleared up some misconceptions about what the Ferrari utility vehicle might be like, how many doors that might have, et cetera. And understanding that it’s early days, but is there anything that you can say now to clarify how Ferrari might approach an electric vehicle. For example we know that you need to generate Ferrari like acceleration, but how might you approach it from a sound perspective or ride and handling perspective? If it’s too early or not appropriate to comment, then maybe you could just talk about what attributes you think make a Ferrari a Ferrari? Thanks.
Sergio Marchionne: Well, you mentioned enough for me to be – this whole question of sound and fun to drive, the actual handling of the car are things, which are absolutely crucial to a Ferrari. And one of the things that you will notice, I mean, I have read some interesting analyst reports that suggest that that now that Tesla has done a car that does zero to 60 miles an hour in 2.7 seconds and there is no room – there is no room for supercars. Well, I would challenge anybody who's driven an electric car to try and drive at the same way we drive a Ferrari and you’d recognize immediately that the handling characteristics of the car are totally different. So whenever Ferrari will express itself in a fully electric vehicle, it will do so by making sure that both sound and handling are reflective of Ferrari’s heritage. The offering that’s available in the marketplace falls substantially short of that target. And the only thing I did say by the way, so we're clear, I did say if there is an electric supercar, it’s going to be Ferrari that makes it.
Ryan Brinkman: Got it.
Operator: Thank you. We will now move to our next question from Adam Jonas, Morgan Stanley. Please go ahead.
Unidentified Analyst: This is [indiscernible] on for Adam. Just a follow up on that, is the decision were made to do a pure EV, how would that impact your either 2018 CapEx guidance and/or your 2022 guidance?
Sergio Marchionne: It would not.
Unidentified Analyst: Okay.
Operator: Thank you. We will now move to our next question from George Galliers of Evercore. Please go ahead.
George Galliers: Hi, and thank you for taking my question. Just following on from some of the comments you made about appealing more to the luxury space. The GTC4Lusso T was an interesting for many Ferrari followers last year. Can you give any insight into how shipments and orders of that car have performed versus expectations? And are you attractive a new different customer to Ferrari with this vehicle?
Sergio Marchionne: The answer is we are attractive customers that have traditionally now been our customers. And yes, we’re making the numbers that we have built into the case. Am I happy with that? Stop, the answer is not. And the reason why we’re not is because we knew when we launched the car that that is not our area of expertise, our strength. So I think we've always – I mean, although I can make the comment with a straight face and the Portofino is completely sold out, I think if you order a GTC4Lusso now, you'll get one in 2018, I guarantee you. I can’t tell you which month, but you will get it within the year. I am not sure you are going to get one – you’re going to get a Portofino if you order today. So I think that we have had varying degrees of success with our cars. We’re spoiled by the fact that in the majority of cases, we tell you that the next 12 months are completely sold out. We’re not completely sold out of all the non-sports cars that we make. And so we need to work at this really hard. There are obviously we’re not quacking it properly. We need to get that right. And hopefully when you come and see us, the September we’ll be able to convince you that we're on the right path – we’re on the right path to get that fixed.
George Galliers: Great. And then on the – slightly cheeky one regarding Formula One. Clearly, you continued to have the engine agreement with Sauber, who are now wearing the Alfa livery. As the thoughts of both of Ferrari and FCA, can you shed any insights into whether that then you think the supply contract would suggest the Alfa should help Ferrari out where requested, for example, by holding out one of your competitors. And is there anything in the F1 regulations which would make such an agreement illegal or not in the spirit of the rules?
Sergio Marchionne: The second question that you asked is illegal question and although when I was young and foolish I was trained in law. I don’t think I am in a position to answer it. I think it would be morally offensive, whether it's illegal or not. I – just to go back that what makes it interesting is that there's absolutely no ownership connection between Ferrari and FCA other than through a common shareholders that I have up on top [indiscernible]. So I am not sure that nested off to try and connect two things. I'm happened to be involved in both. I am going to stop at the end of 2018 and it will be my last year at FCA. So this problem will vanish since I will no longer responsible for the FCA side. I will tell you honestly one of the things – the best thing that I think that could happen in 2018 is to – for Ferrari to perform up to its true potential and to take on the competition, and especially Mercedes with whom it has a lovely relationship, which has gone back about 4, 5 years, but I think it would be great if you could see a proper fight between Mercedes and Ferrari. And I think the important thing for Sauber is for – I mean they rank last, last year. So I think nobody has any illusions over the fact that they're going to win the championship in 2018 and if they do it’s genial. But I think any significant recovery from the last position they've had will be helpful. I think it’s our hope that with the engine that we provide them for 2018, they will be in a much better position to run. I think the drivers are great drivers, I think I am looking forward to a great season, but I don't expect any collaboration beyond technical arguments between Ferrari and Sauber, but now that will happen and I will not be involved at all in the management of Alfa Romeo Sauber team at all. I have nothing to do with them.
George Galliers: Got it, very clear. We will let good luck to Ferrari and thank you.
Operator: Thank you. We will now move to our next question from Giulio Pescatore of HSBC. Please go ahead.
Giulio Pescatore: Thank you for taking my question. First one would be if you could quantify the negative FX impact that is currently reflected in your guidance for 2018? And the second one would be your move to GT opens up to the Chinese market because those products are better fit for that market. So I was wondering what are your ambitions for the growth in China and in Greater China in particular. Thank you.
Sergio Marchionne: And let me get over the Chinese issue first. I think that we have been careful about the Chinese market because I think you’re right that I am the extreme version, the extreme incardination of Ferrari may not be the right product to have. In China, I think, we’re more hopeful that the evolvement of the GT side will become more relevant in the Chinese market. I have no specific number in the EUR2 billion that says that it is purely attributable to China. I think the geographic distribution of Ferrari on its own will be able to get deals that we get EUR2 billion if we get the product right and that to me is the more important question. On the ForEx side, I don’t know Alessandro want to add anything?
Alessandro Gili: It’s something between EUR50 million and EUR70 million.
Giulio Pescatore: Thank you.
Sergio Marchionne: Thank you.
Operator: Thank you. We will now move to our next question from Lello Della Ragione from Intermonte. Please go ahead.
Lello Della Ragione: Hi. Thank you for taking my question. Just a quick follow up on ForEx. I didn’t get have you started to implement the new strategy in terms of pricing with the final customer already or you're approaching it?
Sergio Marchionne: We’re beginning. We’re started the dialogue. We have had interesting discussions with our dealers as a couple of weeks ago, but it’s not built into the numbers and I think the EUR50 million to EUR70 million is embedded in the number. We're going to try and recover if any shortfall on ForEx as early as we can in 2018, but I think it’s 2019 or later phenomenon.
Lello Della Ragione: Okay. And the other question you said is related more to the 2020 ambition that you had. I was just wondering since we've seen this with the utility vehicle first and now with electric vehicle, if you have some kind of let’s say it that Ferrari cannot make. So let's say you open, you paved the wayfor the utility vehicle, now we are earning about an electric version that is something might be – with something with six cylinders rather than eight or twelve, there is something that you will not produce and you can sell it right now and not change your mind on it.
Sergio Marchionne: No. We're producing everything we sell. I don't know whether it was your question. Are you asking me whether we're going to joint venture or something with somebody?
Lello Della Ragione: No, no, no, I am just asking you at this point in time you can exclude, for instance, the production of a car with a smaller engine or you're open – you stated clearly about the electric one. So I was wondering if you are willing to – as long as you maintain the Ferrari uniqueness to explore even other projects. You've said in the past that you will never produce.
Sergio Marchionne: No. I think it’s possible that we will downsize engines. It is quite possible.
Lello Della Ragione: Okay.
Sergio Marchionne: Without losing anything that relates to Ferrari.
Lello Della Ragione: Sergio, thank you so much for the answer.
Operator: Thank you. We'll now move to our next question from Thomas Besson from Kepler Cheuvreux. Please go ahead.
Thomas Besson: Hi, I have a couple of questions please. First, I'd like to ask, sorry if it’s discussed, if it was always planned to dissociate the 2020 targets from the CMD, first. And second, whether it's fair to assume that 2018-2019 should show a slightly slower rate of progress than the rate of progress you plan towards 2022 and it has been the case, for instance, in 2013-2014 during the previous five years plan?
Sergio Marchionne: I’m sorry. I'm trying to give you a proper answer to the first part of your question. So it was always my intention to.
Thomas Besson: I was surprised that you dissociated the targets for 2022 from CMD that was initially planned for Q2 and then postponed it to September or if I had missed something that it was always planned. That’s really a candid question.
Sergio Marchionne: No, and just, let me put your mind to rest. I'm not trying to dissociate anything from anything. I just – if you're going to show up here in Q2 or Q1 of 2018 and you're going to ask me, how are you going to get through to 2022 and make EUR2 billion? I can't tell you about the cars. I cannot tell you about when I'm going to launch them. I can't tell you about volume and I cannot tell you about the pricing of those vehicles because I can't tell you anything about the products, I can’t here. Even though I know it, I can't tell you. And so the real issue to me is how do I make you privy to this Ferrari world? How do I make you understand how this machine runs? And the only way I can do this is by putting you through – by making the customer experience in connection with the launch of a new vehicle as visible as I can because now you've seen it all, right? You see what a customer sees, when he sees the vehicle when it’s first launched. You see how the house handles the relationship, how we nurture their relationship to the ordering process, what it looks like to carry it through, why pricing sits, how we price for personalization, all that stuff that we do is designed to help you build a business model that allows you to understand how it is that we're going to end up exceeding a 36% EBITDA number. We're trying to be that clear because otherwise, if you guys are very futile effort on your side of the company or listen for me to show you four slides that tell you all the sausage parts, where my EUR2 billion come from. And you have no way of determining whether there is any substance of those sausage or not [ph]. I'm just trying to be to helpful. If you have a better idea, I'm more than wanting to listen.
Thomas Besson: No, I’m happy to come back to [indiscernible] which I think is a great experience. Can I ask a second question, please?
Sergio Marchionne: Sure.
Thomas Besson: I was wondering what is your thinking today on the risk of losing a small car manufacturer status if you go beyond the 10,000 limit, which you are likely to do probably in 2020 or 2021?
Sergio Marchionne: I’m not because of the way in the which the portfolio is developing with hybrid.
Thomas Besson: Great. Thank you very much.
Operator: Thank you. We will turn to our next question from Philippe Houchois from Jefferies. Please go ahead.
Philippe Houchois: Yes good afternoon. Thank you. I just have a more kind of general question is you continue to have a target of net cash. And if I think about the valuation upside in your business it's very much about growth, margin, return on invested capital and cash returns. And as you know, from the auto experience or other industries, the market doesn't take a net cash position. So is that kind of – why don't you get rid of the net cash target and engage more – the market in terms of more steady cash returns to shareholders, which I think will be more attractive, unless I'm missing something and net cash position means something to you or to the business?
Sergio Marchionne: One, it means nothing to me, and that's, take that issue off the table. But Philippe, the fault is mine, because I think that we've indicated – I think the note was very clear, I think the footnote was. Did it exclude any type of capital repurchase. So the reason why we carved that out, I've always had this view, by the way, that I think we should never ever – we should never announce our buyback programs and trade against the market, because we're trading against ourselves. We have authority in place not to buy back shares. We have a phenomenal amount of support from the Board to carry out those executions. And in fact, we buy back capital. And I guarantee you that we will not misuse that right. We will intervene and we will do the right thing from a capital standpoint because I wholeheartedly agree with you that the value of cash on the balance sheet is zero. I mean it’s just, it's nonsensical. So we'll get rid of it properly, but we'll get rid of it.
Philippe Houchois: Okay.
Operator: Thank you. We'll now move to our next question from Michael Tyndall, from Citi. Please go ahead.
Michael Tyndall: Yes thanks for taking my questions. Just a couple from me. Mr. Marchionne, in the past, you spoke quite enthusiastically about the non-car business, and it would seem that the ambitions on that front have taken a bit of backseat over the last couple of years. Just wondering when you look to that 2022 target, has it been resurrected at all? Or is it still very much we're going to focus on cars and everything else one side. And then the second question is, sorry go ahead.
Sergio Marchionne: No problem go ahead.
Michael Tyndall: The second question is just I guess it’s follow-on from Philippe's question, the dividend payout ratio went down in 2017, presumably because you've got some serious investing to do. But as we look out to 2022 and that EUR1.2 billion of free cash flow, do you have a stated ambition in terms of dividend payout as we roll through the plan?
Sergio Marchionne: I’m looking Alessandro I think I’ll probably across this 25 to a third, isn’t it?
Alessandro Gili: 25 to 40.
Sergio Marchionne: 25 to 40. So there's no way bringing that commitment we went through the lower end of the spectrum because exactly for the reason that you mentioned because we're going to have a CapEx here and I got cheap, so we sit around the table and we're going to convince the Board when we meet that we should only be paying this level of dividend, and hopefully, the shareholders will approve when it comes. But the commitment is to pay out 25 to 40. And if we go back to Philippe's remarks earlier, even on capital, we need to start using the cash balance. Having know that in the house that has got this type of steady cash generation is nonsense. And from a capital structure standpoint, we just – we're ill structured. So we need to work on this, and buying back shares is a good way of doing a dividend helps. But I think we need some capital from the marketplace and make everybody feel more comfortable with the capital structure. But the first question that you ask, I think, is interesting because I didn't make a big point in this and I continue to make a big point of this because if it is true that this is a true luxury good, then I think it needs to be it needs to be able to find a way to express itself beyond cars. We have been very, very careful [indiscernible] has kind of helped us a lot. We spent a bit of time interfacing with other people who play in this area. Hopefully, when we get together in September, you'll start seeing the beginning of a business, which in its full articulated form could be relevant and I think should be relevant. It is not in the numbers for 2022, which are very much car driven. But the efforts have not stopped. And I think that hopefully you'll see the incarnation of Ferrari in non-car in a real way when you come and see us in September. So we'll have to wait till then.
Michael Tyndall: Looking forward to it. Thanks.
Operator: Thank you. As we have no further questions I’d like to turn the call back to Ms. Nicoletta Russo for any additional or closing remarks. Thank you.
Nicoletta Russo: Thank you, everyone for joining us today. The IR team will be soon available for any follow-up question you may have. Thank you.
Operator: Thank you. That will conclude today's conference call. Thank you for your participation, ladies and gentlemen. You may now disconnect.